Operator: Good morning. My name is Jeroen and I'll your conference operator today. At this time, I would like to welcome everyone to Atkore's Fourth Quarter and Full Year Fiscal 2021 Earnings Conference Call. All lines have been placed in a listen-only mode. After the speakers' remarks, there will be a question-and-answer session. [Operator Instructions]. As a reminder, this conference call is being recorded. Thank you.  I would now like to turn the conference over to your host, John Deitzer, Vice President of Treasury and Investor Relations. Thank you. You may begin.
John Deitzer: Thank you. And good morning, everyone. I'm joined today by Bill Waltz, President and CEO, as well as David Johnson, Chief Financial Officer. We will take your questions after comments by Bill and David. I would like to remind everyone that, during this call, we may make projections or forward-looking statements regarding future events or financial performance of the company. Such statements involve risks and uncertainties such that actual results may differ materially.  Please refer to our SEC filings and today's press release which identify important factors that could cause actual results to differ materially from those contained in our projections or forward-looking statements.  In addition, any reference in our discussion today to EBITDA means adjusted EBITDA. With that, I'll turn it over to Bill.
William Waltz: Thanks, John. And good morning, everyone. Starting on slide 3, I'm pleased to report that Atkore again delivered outstanding performance and record results in the fourth quarter and for the full fiscal year.  As we wrap up a truly amazing year, we also want to take some time in our discussion today to share some of our thoughts on the future. Looking forward into fiscal 2022, we are pleased to increase our expectations for adjusted EBITDA to a range of $650 million to $700 million. This is up considerably from the perspective we shared back in August, and we are confident in our ability to continue to execute despite the level of uncertainty in the macroeconomic environment.  As we look beyond 2021, we are committed to our three conduits of growth and believe we have the right strategy and capital deployment model to drive both near term and long-term value creation. David will cover this in more detail, but we expect to deploy over $1 billion in cash over the next two to three years. Included within that amount is a new $400 million share repurchase authorization that our Board of Directors approved this week.  We'd also like to share some insights into how we are driving our ES&G commitments along with highlighting the significant progress we made over the past few years. Beyond our own ESG efforts, I'll also speak to how Atkore supports the global drive to increase electrification.  As I hope you can tell, we are very pleased with our performance this year, but we're even more excited about building a longtime franchise for the future. We're thankful for the hard work and dedication from our 4,000 employees, and we want to recognize each of them for their amazing contribution to this year and their focus on always serving our customers as best we can.  With that, I'll turn the call over to David to discuss the quarter. 
David Johnson: Thank you, Bill. And good morning, everyone. Turning to slide 4. As Bill mentioned, we had record results in Q4 and we were up significantly compared to the prior year, as well as the fourth quarter of 2019.  During the quarter, a few key highlights to mention. We received a utility patent for our MC Glide product. We repurchased $25 million in stock to close out our previous share repurchase authorization. And we contributed $18 million to bring our pension plans above a 95% funding status. This was amazing end to fiscal 2021.  Moving to our consolidated results on slide 5. Net sales increased 93% year-over-year to $924 million. Adjusted EBITDA increased to $293 million, which drove our adjusted EBITDA margin to 32% in the quarter, both up significantly versus the prior year. our adjusted EPS increase to $4.39.  Turning to slide 6 and our consolidated bridges. Net sales increased by $446 million due to higher selling prices and the contributions from several of our recent acquisitions. Through outstanding operational and commercial execution, our team grew adjusted EBITDA by $195 million.  The profit growth was driven by our ability to overcome the impact from higher input costs, supply chain disruptions and very tight labor market. Labor continues to be our largest constraint that our entire team from human resources to marketing to operations is working together to develop creative solutions that enable us to continue to satisfy our customers as best we can.  Shifting to our segment results on slide 7. The Electrical segment led our profit and margin improvement year-over-year with adjusted EBITDA of $192 million and adjusted EBITDA margins above 40%. We experienced volume growth both domestically and internationally, which increased our sales by $11 million in the quarter.  In our Safety & Infrastructure segment, net sales increased by 78% from the prior year and adjusted EBITDA increased 70% to $29 million. Now, moving to our consolidated cash flow bridge on slide 8. We generated $573 million in cash flow from operating activities in 2021 and we invested $64 million in capital expenditures, resulting in free cash flow of $508 million.  In the fourth quarter, we also repaid $27 million of our new term loan in order to satisfy our future required amortization payments. With all the work that we've done this year and over the past few years to strengthen our balance sheet, we are very happy with the position we're in today. We look forward to using our balance sheet as a lever to help us to continue to grow.  With that, I'll turn it back to Bill. 
William Waltz : Thanks, David. Turning to slide 9. Atkore delivered record financial results in 2021 with approximately $2.9 billion in sales and $898 million of adjusted EBITDA.  Beyond the financials, one example that we're proud to highlight is we just received the great places to work certification in 2021. We are privileged to have an incredibly talented team across our business and ensuring that Atkore is a place where they can be successful is an important focus and core to how we operate. It is their commitment and dedication that enabled us to deliver on our objectives for the year, complete three acquisitions that strengthened our portfolio and received 19 patents for 11 new products that provide innovative solutions for our customers.  One of these products is MC Glide, which received the EC&M product of the year award. MC Glide continues to be well received by customers and contractors, reducing labor costs and the time spent on the job.  Another award we received was the ENERGY STAR achiever status for our Phoenix site, which means the site achieved a 10% or greater improvement in energy efficiency within five years of joining the challenge. Sustainability, both in our operations and our products, also remains a core focus and we're going to talk about that later in the call. While we're pleased with our performance in 2021, we're excited for what's to come and look forward to continue to execute our growth plans in 2022.  Turning into our full-year 2022 outlook on slide 10. For 2022, we expect adjusted EBITDA to be in the range of $650 million to $700 million, adjusted EPS from $9.20 to $10, and net sales to be up in the mid-single-digits compared to 2021.  As we look ahead to what we expect will be more normalized operating environment beyond fiscal 2022, we believe an adjusted EBITDA level of approximately $600 million is the right baseline estimate for the business. And within that estimate, we expect that M&A will be a key contributor for our growth going forward.  But now let's dive deeper into our growth strategy. So please turn to slide 11. As we continue to position Atkore for long-term success, we see three condos to drive future growth – new product innovation, focused product categories, and M&A.  Starting with new product innovation, we believe this is key to our ability to remain on the leading edge of electrical and safety and infrastructure markets. We will continue to invest in the development of new products that deliver innovative solutions to our customers.  Next is our focused product categories. We believe that there are significant opportunities for Atkore to gain share and become a leader in key adjacent product categories by increasing cross selling opportunities across our product portfolio. For example, customers continue to come to Atkore for our leading steel and PVC conduit products. Both our strategy of one order, one delivery, one invoice, we had the ability to bundle several products together and provide value as a one-stop shop for our customers.  Last, but not least, we remain focused on strategically pursuing M&A. To that end, while Atkore has historically conducted smaller bolt-on acquisitions, we believe there will be opportunities in the coming years for Atkore to strengthen our portfolio through acquisitions of varying size.  All of this is underpinned by what we consider the foundation of our strategy, making ongoing investments across our business to improve our market positioning and operational capabilities in order to enhance our customers' experience with Atkore.  Now, at the beginning of the call, I mentioned that I was going to talk about sustainability. At Atkore, we are firm believers in the benefit of operating sustainably and enabling our customers to do the same.  A big part of this is supporting the global drive to increase electrification. So, let's talk about how Atkore fits squarely into this trend. So please turn to slide 12. In the recent years, there has been a significant shift towards electrification of buildings and vehicles as we look to reduce greenhouse gas emissions.  For example, according to a study from Princeton University as cited in The Wall Street Journal earlier this year, electrifying nearly all transport and buildings could contribute to doubling the amount of electricity used in the US by 2050. As we expect these efforts to accelerate towards higher levels of electrification, we believe this will create further demand for new building construction and retrofitting, as well as the infrastructure needs to support this transition with projected growth in areas such as electrical vehicle charging stations.  And there is regulatory pressure behind this as the world continues to take action to combat climate change. Whether it's specific bills in the US Congress or the recent UN Climate Change Conference, there are various initiatives around energy efficiency and electrification to reduce greenhouse gas emissions. This also extends to investments in alternative energy sources like solar, where the build out of infrastructure is continuing to expand. Further, as we've seen and experienced over the last year, with a rise in video conferencing, telemedicine and e-commerce, the world is becoming more connected. This continued increase in digital activities require more digital infrastructure and physical warehouses. Our conduits, fittings, metal framing, cable tray and armored cable products are quite literally what will connect these tailwinds to reality. We're excited not only to help our customers deliver on the sustainability targets, but to support their broader push for a more sustainable future for everyone.  I'll turn it over to David to provide more detail about electrification trends in our markets. David?
David Johnson : Thanks, Bill. Turning to slide 13. With the exception of our water and some security-related products, which have their own strong growth mega trends, our end markets are supported by the mega trends of electrification and digitization.  In terms of non-residential new building construction, we're seeing particularly strong trends for data centers, warehouses and healthcare. Data centers are also a key driver for our international business.  As Bill alluded to in terms of the push to retrofit buildings, the repair/remodel segment is benefiting from renovations of K-12 schools in certain regions of the US. In residential, we have seen an increase in our exposure to the market primarily through our growing PVC conduit business, which is used outside of the home, but very important in the development of new home subdivisions. We're also expecting solid demand growth from the renewable end markets and warehouses from our OEM customers. All this is to say that sales across the majority of our end markets and highly supported by these mega trends that will benefit Atkore over the long term.  Moving to slide 14, I'd like to turn to our capital deployment strategy. Our objective is to leverage our strong position entering FY 2022 to make both organic and inorganic investments, so we can further capitalize on the trends in the marketplace we've been discussing and drive enhanced growth across our businesses.  First, we're trying to make investments in digital tools and capabilities to improve our manufacturing processes and drive increased efficiencies. We will also invest in new equipment to support the growing solar market.  Second, we will continue to strategically engage our M&A pipeline to strengthen and expand our portfolio in current pipe categories and those in near adjacent markets.  Third, we remain committed to returning capital to shareholders. As Bill mentioned, our board has recently approved a new two-year $400 million buyback authorization program. This will give us ample capacity and flexibility to use funds directly for stock repurchases that are not allocated to either organic or inorganic growth investments.  While we execute the strategy, we are still going to be disciplined in our approach and are committed to maintaining our gross debt to normalized adjusted EBITDA ratio at roughly 2 times or below.  Let's turn to slide 15 and take a more detailed look at our M&A criteria. Atkore has a proven ability to acquire, integrate and successfully manage our portfolio. This starts with the way we approach identifying whether a company fits with Atkore. We think there are opportunities in markets to expand our M&A pipeline to consider companies of varying sizes as part of the strategy over the coming years, and we will continue to execute against it to strengthen our portfolio.  With that, I'll pass it back to Bill to discuss our commitment to ESG. Bill?
William Waltz : Thanks, David. Turning to slide 16. At Atkore, sustainability is central to the strength, safety and longevity of our business and is built into everything that we do. For reference, in FY 2021, we had 14 more Sites commit to the ENERGY STAR challenge for industry, and we've made significant investments in order to help us further reduce our consumption of other natural resources moving forward. As the impacts of climate change and other issues with natural resources continue to escalate, we know that Atkore and our product portfolio has an important role to play.  As integral to what we do is who we are. At Atkore, we believe and know that diversity, equity and inclusion, DEI, is vital to our colleagues and our businesses' wellbeing. Over the past year, we've launched unconscious bias training and introduce DEI topics into our onboarding and immersion program, reflecting our ambition across all parts of our operations.  To that end, Atkore prides itself on diversity at all levels of the organization, including the company's Board of Directors. As we look ahead, we remain committed to improving sustainability in our operations and continue in our customers and reaching their own sustainability goals, which we believe will benefit not only our people, but the planet and society as a whole.  Now, let me pivot to slide 17 and our expectations for fiscal 2022. I touched on our outlook for the full year earlier, but for Q1, we're expecting adjusted EBITDA to be in the range of $230 million to $250 million. And we're very encouraged by what we've seen so far in the first few weeks of the start of the quarter.  However, we expect to see supply chain disruptions and labor constraints internally and, across the value chain, limit some volumes in the quarter. Therefore, we expect volume to decline in Q1 by mid to maybe high single digits versus the year prior.  Looking forward to the full year, though, despite the uncertainty driven by the pandemic, supply chain and labor availability, we expect to generate modest volume gains for the full year, but we will be dependent on several factors within the value chain.  In terms of profitability for the year, we believe the estimate of $650 million to $700 million in adjusted EBITDA is reasonable at this time. However, if Q1 is stronger than expected and some of the favorable pricing trends that we're experiencing continue into the year, we could see earnings level and FY 2022 that are similar to FY 2021. As always, we will be modifying our view and keeping you updated as the year unfolds.  To wrap up on slide 18, I just want to reiterate that we're firm believers in what we do here at Atkore and see the inherent value in our offerings. Driven by the Atkore business system, we will continue to be disciplined in operations and focused on strengthening our leadership position in our markets.  Looking ahead, we see a clear path to advance our business forward into the future as guided by our three conduits of growth – new product innovation, focused product categories and M&A. These multiple levers, supported by a strong financial foundation, will enable us to drive sustainable growth across the organization through both organic and inorganic investments.  Before we turn it over to the operator for Q&A, I want to thank our incredibly talented team for all the work that we've done in 2021 and let everyone know how excited I am for 2022.  With that, we'll turn it over to the operator to open up the line for questions.
Operator: [Operator Instructions]. Your first question comes from John Walsh with Credit Suisse.
John Walsh: Great quarter. Wanted to try to come at the pricing question as we look forward. So, my back of the envelope math is something like maybe a high-single digit percent is assumed for price in 2022. But if I just think about where we are, even if my math is correct, we still kind of have a very strong pricing environment relative to pre pandemic. So, are we just at a structurally higher price point given availability of the product? Or maybe some of the investments that you're making to drive productivity, so you're able to capture a higher price cost spread as we go forward? Just would really love to get kind of your thoughts around the sustainability of the ability of price.
William Waltz: Kind of the beginning to your suppositions, I would say yes to all the above. We're in a higher price environment with supply and demand constraints. And we are doing self-help with productivity, automation, new products that are more value-add. And we have a better bundle in the one order, one delivery, one invoice. So lots of things going into that.  And that's why, if you just look in the rearview moment, for a moment, that we've driven from $327 million, a record profit two years ago, to $898 million. And the reason why we have raised our forecasts that we gave last quarter to, say, 2022 would have been $500 million to $550 million, now saying $650 million to $700 million. So a pretty big increase. And then it's still a dynamic environment.  And that's why we also want to be clear, while we're pretty comfortable with delivering $650 million to $700 million, depends on how the next several months play out. There could be a pathway that we, obviously, internally, we're striving to repeat last year type of numbers, but that's way too soon.  But then, John, I would also finally triangulate, in our prepared remarks, that we said, hey, eventually some of this price will go back. And therefore, as we drive productivity and new products and M&A, if I was an investor, I'd be thinking longer term with a normalized EBITDA around $600 million. So, hopefully, I use numbers in how we're thinking through it.
John Walsh: Obviously, this $1 billion of capital to deploy that you talked about, you did mention that there could be some larger deals in the pipeline. Can you give us any more color around actionability, size, just what that looks like? Obviously, it's been an accretive lever for Atkore.
William Waltz: Yeah, it's a really accretive lever and we're doubling down. The only thing you may have over-read, I probably did not want to allude – or we did not want to allude whether or not there's specific deals in the pipeline. We always have a good robust, literally over 100 deals. If you reflect back three, four years ago, we had a debt to EBITDA ratio above 3. As we're trying to work our debt down, only certain size deals we can do. We're not looking for a whale or a large one. But when all of a sudden we're looking to deploy $1 billion over the next couple years, the freedom to go over $100 million, I'm just picking a number, is absolutely there. So, that's what we want to allude to. And from there, whether it's a $10 million deal, enterprise value or $100 million or $300 million, if it's the right deal that's strategic and synergistic and still debt responsible. And we have the management bandwidth and we're moving forward. Because, to your point, it's exceptionally accretive for our shareholders or it has been, and it's really good for our customers. We deliver value to our customers, I firmly believe, is how we deliver value to our shareholders. 
Operator: Your next question comes from Chris Moore with CJS Securities.
Chris Moore: I wasn't sure if I heard it correctly. So, in terms of volume growth for fiscal 2022, it's mid-single digits is what you're looking for? Did I hear that correctly?
David Johnson: Yes, that is correct. And then Q1, like we said, it's probably going to be a little bit lower than last year. A lot of that has to do with more of the labor availability in the construction market and some of the projects just taking longer than they typically would, Chris. 
William Waltz: If I can follow-up, probably self-evident, Chris. But we believe, back to the mid-single digits, there's enough activity out there, Dodge is strong, architectural building index is strong. The whole electrification digitization, we walked through, we think it's mid-single digits. But, right now, at the end contractor level, if they don't get other products or they don't get other labor in, just the demand cycle has the elongated. But that may be good news for continued growth longer this way. So, no issue and we're performing well.
Chris Moore: You referenced supply chain. So, all the companies that we work with have gotten hurt badly recently. Can you maybe get a little more specific in terms of some of the things you're seeing on the supply chain that could cause challenges later in the year?
William Waltz: Well, for us, I'm not concerned with us. Not that I want to overplay that. Something can always happen. But for today, almost all of our materials are longer lead times. So, therefore, we have to be more precise in what's called a psy-op process of forecasting and what inventory, when it's delivered and more flexible, and make sure we have the labor, but we're performing well in almost all of those categories. Yes, we could use more employees, like everybody else. But we're not the constraint. Nor do I see ourselves in the future being a constraint.  So, Chris, more as I kind of mentioned with David's comment earlier, if you're just at a job site and do you have the product or a lot of products is – I think everybody knows not Atkore, but to come in from overseas. So I think anybody realizes the issues with ports and getting products in. So, at the end of the day, even if our products are there, and they don't have some other product, the job may get slowed down. And that's what all society I think is working through right now.  But again, long term trends, this is the most – I would just say this is very positive on ABI, Dodge – some of these look at Dodge forecasts, even by category for starts for next year, almost every category is out. Obviously, some stronger than others. So we're optimistic going into the year.
David Johnson: Chris, just one other comment. In general, we're not as labor intensive as other companies. So, when you look at our revenue, say, around $3 billion or what have you and you have 4,000 employees or less, we're fairly automated as it is and our supply chain is domestic for the domestic market. So, it's in region for the region. So, it's really not as much of an impact directly to us. It's a secondary impact on, like Bill said, the construction market. 
Operator: Your next question comes from Andy Kaplowitz with Citigroup.
Andrew Kaplowitz: [Technical Difficulty] for the year. It looks like you're saying that you will normalize that EBITDA close to $150 million per quarter after Q1 and then stay that way, which seems like the assumption behind the $600 million in normalized EBITDA. So, as we sit here today, is there anything that you've seen that tells you that the business will normalize quickly after Q1? Or could it be more of a gradual step down?  And then, with the understanding that $150 million is way higher than you recorded pre-pandemic, it seems like you're setting margin Electrical back in that sort of normalized, mid to high 20% range eventually. Does that assume that basically you'd give most of the pricing gains back as inflation comes off? And what's the probability that some of the gains could be more sticky?
William Waltz: I'll start. David can jump in or help with stuff. But a couple of things. This is not a rocket scientist statement here. But our job is to keep the profits up, the price sticking as long as possible. Therefore, again, if anyone grounded themselves over the last five years before their pandemic, we were EBITDA at a compounded growth rate above 10%. And we had a record at $327 million. Now, we're saying $600 million as a number in the future, which is a whole step function. I mean, 2x. To get that, we expect long-term to maintain some of this margin because of the value and delivery, new products, M&A. So, a lot of things going into that $600 million.  Now, short term, you look and go if it's still a step function from $300 million to $600 million. This year, $650 million to 700 million, and potentially a path to a higher number. We're internally striving to get – can we repeat last year? That would be great, because that would mean or could mean that, even the following year, which we're not giving guidance on, could be higher than $600 million, to your question, Andy.  So, we want to keep it up and keep as much value as long as possible. But we also want to be as transparent and ground our investors that some of it potentially go back. But even again, $300 million or $600 million, we're going to keep some of it we think long term, just like we've always gotten price over costs as we've added more value in the previous years. So, hopefully, I've weaved our thinking through in different numbers for this year, previous years and going into the future.
Andrew Kaplowitz: In the presentation, you mentioned the breakdown of the 2021 sales. think you talked about sort of weaker market trends in retail and hotel. I think we've started to see those markets pick up at this point. But when you're thinking about the mid-single-digit growth guide for the year in 2022, are you assuming general recovery in all of your markets or data centers and warehouses still going faster than the rest of your markets? And then, I assume you're not assuming any help from the infrastructure bill yet in 2022?
William Waltz: I think the answer is absolutely yes to everything. I could repeat your answer back as a statement. But, yes, Andy.
Andrew Kaplowitz: All right, easy enough. Just on inventory, can you give us more color into where you think inventory is in the channel? For instance, last quarter, I think he said, PVC conduit lead times were in the 40 weeks' time frame instead of the more usual two to three weeks? Where are they now? And then have you seen any evidence that your distributors are over-ordering or thinking they need to get in line, given the strong demand that's out there?
William Waltz: I think inventories are probably similar to where they were before, maybe a little bit better. So, to give you an example – again, it's hard to estimate because every distributor is trying to do different things. But if it typically was, you had to order and have a lead time of a week and it went out to six to eight weeks, now it may be four to six. So that's where it is getting slightly back to normal. But that's why, again, we're holding on to price because it's far from normal and then maybe it's spring turns on and it could flip the other way. So that's where it's hard to totally predict, is it $650 million or $700 million dollar number, or is it last year's $898 million or where in between. And we'll be able to update on January. So it's getting slightly better. I don't see really any change in distributors stocking or anything. They can't get the product.  Now what some customers have to do is you have to order longer out, so to go – if you have a job in January, anybody should be thinking, I better get that order placed now to do it. So, it was a little bit of, not preordering, but just planning for – it's no longer a week turnaround time. But we're managing through that, and so is the economy as a whole.
David Johnson: One other comment, the common argument to some of them buying ahead because they're worried about supply is that the general assumptions at some point in time, steel will moderate, if not go down. So I think folks are also a little bit wary of buying too much ahead, certainly, if it's steel oriented, because of the assumption that steel costs in the next near term, call it, two quarters or so are supposed to eventually start to tail off.
William Waltz: So, that, and as we've always explained, ours are pretty large product. So you're not going to put an extra three weeks of supply. You can't find the warehouse or the shipping terminal, especially now.
Operator: [Operator Instructions]. Your next question comes from Deane Dray with RBC Capital Markets.
Deane Dray: Add my congratulations. Hey, look, I know we've talked about this normalization theme here. And if we go back to August, we talked about fiscal 2022 being the normalized period that we would enter. And obviously, that's being pushed out here nicely. That's a high quality problem. I found it really interesting that you kind of suggested the first fiscal quarter, the first couple of months can kind of dictate what the year might be. Are there particular indicators that make the beginning of the year especially important in terms of the trajectory for the fiscal year? Maybe start there.
William Waltz: Obviously, Dean, any number we put up in this quarter is one-fourth to add to the scoreboard. And then, the only other reason I think that we alluded that way is we'll have more insights, especially during the winter months – does our competitor with a little bit lower seasonality take the backlog question that Andy just asked and go, hey, if lead times were four to six weeks, which are abnormally long compared to four days, do they catch it up to two or three weeks? And if that's the case, maybe they're a little bit more price sensitive. Because, again, if we could hold the pricing we have in this quarter all year, then I would tell you we'd probably repeat last year's profit. So, that's the reason, Deane, the leverage of how strong our competitors get with catching up going into the future.  Again, to your earlier, I'm going to say, supposition, we assume that this year would kind of be a normal year. We're down telling this year will be stronger than normal, good problem to have. We're also telling you that if normal in the past was $500 million to $550 million, now we use a baseline of $600 million. So every type of metric we're giving is really a positive from even August. And obviously, August was one heck of a positive from a year ago.  So, Atkore is on a roll in my mind and we're investing heavily, as David walked through from capital to somebody dug through our SG&A. We're definitely investing for the future here.
Deane Dray: Since pricing is such a swing factor, and we saw north of 80% contribution, and I don't know how much precision you have, but I still want to ask the question is, how you would parse out that plus 80% this quarter? If there are bigger buckets of – how much is passing through raw material price increases? Another bucket is the influence of demand and supply constraints, frankly. And then, look, there should be a third bucket about Atkore's value add, Atkore's business system's one invoice, all of that. But if we just use those three buckets, passthrough, supply industry constraints, and then the unique value add for Atkore, how would you parse that pricing out? 
David Johnson: This is David. I'll start and then let Bill probably clarify what I meant to say. If you go to slide 6 and you look at our EBITDA bridge, you'll see our input cost changes went up $205 million for the quarter. So, you could argue that that is the portion of the $391 million that would be considered passthrough. So, the differential between those two numbers, the margin that we added to the bottom line, you would then have to come to a decision of how much of that is due to delivery service, new products and what have you. And I would say Bill, it's all of the above. 
William Waltz: Right now, the team with value props, delivery, the one order, one delivery, one invoice, and there's – the good thing also, by the way, is the glass half full. It's not like we've totally squeezed the lemon on the opportunities with these things, from digitization to the new products we talked about. So, it's a little of everything, Deane, which is – again, I'm so excited about because it's not we're riding one factor here versus seven or eight things.
Deane Dray: Just last question for me. It looks like you might have updated your slides for the US infrastructure bill, making the reference to the charging stations where there's money being earmarked for a national network of those. And then as well as grid hardening, the burying of power lines to prevent wildfires where and how might incrementally that create new demand for you that we might not have been talking about a year ago?
David Johnson: Great question for a couple of things, Deane. To the question, I think it was Andy who asked, or he asked and we did said yes to, we did not build any infrastructure into these numbers. And so, we talked about electrical vehicle charging because we're working on it. But that's not like, oh, now that the government's passed a trillion dollar infrastructure, we just raised our forecast. So, if anything hits in the next year, that could be upside to this.  To your second part of your question, though – and by the way, I would have wanted to get shovel ready. That may be better factor for the next fiscal year, quite frankly. But that's my opinion. But your second part, the hardening of the grid, is I think a great secular trend for us. I'll give you two examples. You mentioned forest fires in California. And they are burying. Someone can look out at the utilities out there and the amount of money they've suggested to spend on that, by the way, it's more than just buying PVC conduit to bury the lines, but it's a huge number. And I think we're well positioned to support that initiative as we take input electrical lines above ground below ground.  Another perfect example. I'm not saying this will happen, but I listened to a speech just recently by a senator in Louisiana talking about how when Hurricane Ida went through, because of the great work over the last decade, this city in New Orleans did not flood because of the pumps and so forth. But the people in Louisiana were without power because all the electrical lines were above ground. So, how do we harden our infrastructure and put those electrical lines underground, so that our citizens in this great country don't have to do with power outages.  So again, there's so many different things, whether it's part of the infrastructure bill or just things that our society is going through as a whole that I think Atkore really is, as we said in the prepared marks, is the conduit to make these things happen. 
Operator: This concludes the question-and-answer session. I would now like to turn the call back to Bill Waltz for closing remarks. 
William Waltz: Before we conclude, let me summarize my three key takeaways from today's discussion. First, 2021 was an incredible year and we have a strong outlook for 2022 and beyond. Second, we are focused on our three conduits of growth in implementing the strategy and capital deployment model to drive increased value creation for all of our stakeholders. Third, we will be ready to deploy our new $400 million stock repurchase authorization and we will continue to look to return capital to shareholders with cash that is not being utilized to invest in the business or pursue M&A.  With that, thank you for your support and interest in Atkore and we look forward to speaking with you during our next quarterly call. This concludes the call for today. 
Operator: This concludes today's conference call. You may now disconnect.